Executives:  Denita C. Stann – Vice President, Investor and Public Relations William J. Doyle – President and Chief Executive Officer Wayne R. Brownlee – Executive Vice President and Chief Financial Officer G. David Delaney – Executive Vice President and Chief Operating Officer Stephen F. Dowdle – President, PCS Sales Joseph A. Podwika – Senior Vice President, General Counsel and Secretary Brent E. Heimann – President, PCS Phosphate and PCS Nitrogen Michael T. Hogan – President, PCS Potash 
Analysts:  Mark W. Connelly – CLSA Americas LLC Ben Isaacson – Scotia Capital Markets Michael Piken – Cleveland Research Company LLC Jacob Bout – CIBC World Markets, Inc. Jeffrey Zekauskas – JPMorgan Securities LLC Christopher S. Parkinson – Credit Suisse Securities LLC P. J. Juvekar – Citigroup Global Markets Inc. Don D. Carson – Susquehanna Financial Group LLLP Mark R. Gulley – BGC Financial LP Joel D. Jackson – BMO Capital Markets Steve Hansen – Raymond James Ltd. Matthew J. Korn – Barclays Capital, Inc. Adam Samuelson – Goldman Sachs & Co. Yonah Weisz – HSBC Bank Plc Kevin McCarthy – Bank of America Merrill Lynch Vincent Andrews – Morgan Stanley & Co. LLC 
Operator: Good afternoon, ladies and gentlemen. Thank you for standing by. Welcome to the PotashCorp Third Quarter Earnings Conference Call. At this time, all call-in participants are in a listen-only mode. Following the presentation, we will conduct a question-and-answer session. (Operator Instructions) Once again, webcast participants are encouraged to submit a question to management online from your audio player pop-up window. You can simply type in your question and send it. These instructions will be repeated prior to the question-and-answer session. (Operator Instructions) I would like to remind everyone that this conference call is being recorded on Thursday, October, 24, at 1 PM Eastern. I will now turn the conference over to Denita Stann, Vice President, Investor and Public Relations. Please go ahead.
Denita C. Stann: Thanks, Brock. Good afternoon, everyone, and thank you for joining us. Welcome to our third quarter earnings call. In the room with us today, we have Bill Doyle, our President and CEO; Wayne Brownlee, our Executive Vice President and Chief Financial Officer; David Delaney, Executive Vice President and Chief Operating Officer; Joe Podwika, Senior Vice President and General Counsel; Mike Hogan, President of PCS Potash; Brent Heimann, President of PCS Phosphate and PCS Nitrogen; and Stephen Dowdle, President of PCS Sales. I’d like to welcome the media who are listening in and remind people that we are live on our website. I would also like to remind everyone that today’s call may include forward-looking statements. These statements are given as of the date of this call and involve risks and uncertainties. A number of factors and assumptions were applied in the formulation of these statements and actual results could differ materially. For additional information, we direct you to our news release and our most recent Form 10-K. Also, today’s news release includes a reconciliation of certain non-IFRS financial measures to the most directly comparable IFRS measures. I’ll turn the call over now to Bill Doyle for some comments and then we’ll go to questions.
William J. Doyle: All right, thank you, Denita. Good afternoon, everyone and thank you for joining our discussion of PotashCorp’s third quarter performance and outlook. We appreciate this opportunity to share our views on current conditions and our plans as we move forward. As anyone who follows our company or industry knows, we faced a challenging environment during the quarter. Our third quarter earnings of $0.41 per share fell short of guidance we set in July trailed our earnings for the same period last year. This was due largely to a weaker pricing environment for all three nutrients and lower potash sales volumes, while our first half earnings surpassed 2012 levels; the weak third quarter left our nine-month total of $1.77 per share below the comparative period last year. Historically, the third quarter brings a seasonal slowdown and it was exaggerated in potash this year by Uralkali’s announced change in sales strategy at the very end of July. This created tremendous market uncertainty and a state of paralysis in most regions. As a result, our potash shipments to domestic and offshore markets declined. In nitrogen, our sales volumes increased compared to last year and our per tonne production costs improved with a restart of low-cost ammonia production at Geismar and an expansion at Augusta that was completed in the fourth quarter last year. Still lower prices led to a decline in nitrogen gross margin. The contributions from our phosphate segment were also lower in the quarter, although our capabilities in industrial and feed products enhanced stability and helped support our returns in this nutrient. The events of the third quarter not only had an impact on our performance, it caused some investors to reassess prospects for the industry and the value of our company. We understood that, but we cautioned against getting two caught up in the drama and daily headlines. Admittedly, the recent slowdown in potash demand and decline in pricing have been challenging, but that does not mean the prospects for our industry have forever changed. The fundamental realities of food production and soil fertility continued to underpin our business. Despite recent market uncertainty, demand has emerged in both United States and Latin America’s growers entered their planning or application windows. In these markets, we see farmers focused on improving the financial return on every acre and protecting the value of their soil. This has been the case in Brazil where product has moved to the farm at a robust pace as growers are in the field planning. Although customers in Brazil are likely to take a more measured approach through the fourth quarter, fertilizer shipments for the year including potash are on track to reach record levels. In the U.S. demand continued through the third quarter although a just in time mindset and a late harvest led dealers to purchase only enough potash to meet committed orders. As we moved into October, farmers begin applying nutrients for next year as the current crops start to come on. Distributors are enquiring about additional product requirements, but we are bumping up against shortened application window. So harvest progression and weather will play an important role in determining how the season unfolds. Potash deferrals were most pronounced in China and India during the third quarter and that continues to be the case, with both countries taking a wait and see approach. Canpotex is expected to have sales to China during the fourth quarter, which is reflected in the upper end of our guidance range for 2013 potash shipments. While negotiations continue on new contracts, we believe deferrals through October have resulted in a drawdown of inventories and create the potential for increased requirements early in the New Year. In India, buyers continue to face subsidy policy and currency challenges. Canpotex has contracts with India they run through March of 2014, but the timing and terms on remaining shipments have contracted tonnage through the balance of this year are uncertain at this time. In other Asian countries we are beginning to see customers resume purchasing potash as we enter the major tender season. It is a highly competitive market, but Canpotex remains well positioned to serve customers in this important region. Given these conditions, we have reduced our 2013 estimate for global potash demand to a range of 53 million tonnes to 54 million tonnes and revised our full year sales volume forecast to 8 million tonnes to 8.4 million tonnes. The impact of lower potash sales volumes and reduced price expectations for all three nutrients has resulted in a revision of our full-year earnings to $2 to $2.20 per share. Buyer caution during uncertain times is predictable and understandable and investors tend to react the same way. We have seen this pattern many times over the years and history has shown that buyer deferrals are generally followed by growth and demand. 2014, we believe global potash demand could reach 55 million tonnes to 58 million tonnes. We know investors would like a more specific timeline and when buyer engagement will return to normal and how quickly the price trend will reverse. Market timing is unpredictable so our focus is always is on the best way to manage our business through these choppy waters. The Uralkali announcements created waves; some people suggested that we are entering a new competitive environment in the potash business. Our business has always being competitive, prices have always reacted to changes in supply demand and our company has a track record of strong performance in a multitude of market conditions. Our aim has always been to be the best positioned competitor in any environment and that's what any sustainable business does. It means that we sometimes have bumpy roads and difficult decisions to make, but we always work to protect the long-term interest of all of our stakeholders. It's why we have sought to assemble and enhance some of the world's best fertilizer assets, high quality, low cost operations, and politically stable environment. It’s why our people work to optimize our performance each and every day. We recognize the importance of effectively managing our assets and taking care of our customers. We are focused on remaining well position on a deliver cost basis to all key global markets and we believe this advantage will be reinforced in the years ahead. The investments we have made in distribution and logistics infrastructure give us greater capability to meet the needs of just-in-time customer base and help ensure the PotashCorp and Canpotex will remain a supply of choice over the long-term. Although, our nitrogen and phosphate operations generally draw less attention, the value of these nutrients stands out when there is a pause in the potash market. Much like our growth initiatives in potash, we were ahead of the pack of building nitrogen capacity, while many companies are now exploring ways to add nitrogen production, we have to complete it low-cost expansions in the U.S. that are contributing to our gross margins and another in the works. This will enhance our competitive position in the coming years Despite a challenging environment in phosphate, we have the ability to produce the highest quality feed and industrial products that enhance margins and earnings stability. We are beginning to the reach the benefits of the competitive improvement initiatives we undertook two years ago and are continuing to explore ways to protect the long-term value of our phosphate assets. Our patient approach has allowed us to bill the bigger, stronger and more competitive company. Yet, we know we can’t rely on our past activities to maintain our competitive advantages in the future, we need to take action and ensure the company stands in a stronger position each and everyday for the benefit of all those who depend on us. While our share prices reflected the uncertainty in our industry, we continue to generate strong cash flow and are rewarding investors through a dividend program that is unmatched among our North American peers. Moreover we are and expect to continue executing on our share repurchase program. Our focus from the board and management team through to our front-line people is on delivering the greatest value for our investors, customers, employees and communities. We look forward to delivering in the quarters ahead and the years to come. I’m joined today by members of our senior management team and we’ll look forward to answering your question.
Operator: Thank you. Ladies and gentlemen, we will now conduct the question-and-answer session. (Operator Instructions) Our first question today comes from Mark Connelly of the CLSA. Please go ahead.
Mark W. Connelly – CLSA Americas LLC: Thank you, Bill. A capital allocation question, I mean we were all hoping that 2012 picks up, but if it doesn’t, there’s a reasonable chance that free cash flow is going to be at or near the dividend that, I’m assuming, I hope correctly PotashCorp is comfortable borrowing to pay the dividend, but you are – are you also comfortable borrowing to buy back stock. And on the spending side, we see other producers talking about expanding distribution in Brazil, and is that something you think you need to start spending some money on?
William J. Doyle: Mark I’m going to ask Wayne to answer your first question and Stephen to answer the second part of your question. Wayne.
Wayne R. Brownlee: Hi, Mark. We’re more than comfortable dividend program right now our current outlook for 2014. I don’t believe that we’ll actually have to get into the debt markets to fund the dividend program to be maintained. Our capital spending program will be down by $400 million or $500 million. So I think that will make up for the delta – from what you’re seeing this year. We have a lot of debt capacity on our balance sheet. We are looking at, and are prepared to use some of that for our share repurchases on the modest basis going forward and we will continue to do that, I would say that for sure, the dividend is maintained through the second pin and are very well response in terms of capital – return the capital to shareholders would be on a share repurchases for that.
William J. Doyle: Stephen.
Stephen F. Dowdle: Yes, with regards to distribution in Brazil, we are already involved there through our Perola Terminal in Santos and that has proven to be quite an important asset for us. With regards to expanding our footprint there, we are evaluating that with our customers, our customers are primarily responsible for distributing fertilizers and potash in Brazil and certainly through discussion with them if we see a need and determine some that action is required in some investment is required on our part, we would certainly do that in consultation with our customers.
Operator: The next question comes from Ben Isaacson of Scotia Bank. Please go ahead.
Ben Isaacson – Scotia Capital Markets:  Thank you, very much. Just a question on inventory, Bill you talked about the lack of buying is being maintained as a result of many countries crawling down inventory. Can you just talk a little bit about how those inventory level fit basically region-by-region and are we above average right now and just going down to normal levels?
William J. Doyle: We are below average right now Ben around the world, I mean it would take a little while to give you country-by-country analysis of inventories, but we know especially since the Uralkali announcement that people have been hand to mouth [ph] world wide, United States, Canada across the globe people have been absolutely very, very careful risk averse because they are uncertain and there was some comments made about lower prices and so they wait and that’s what happens when that type of announcement is made. So I can just tell you though that we see very low inventories going out this year and that’s across the board.
Operator: The next question comes from the Mike Piken of Cleveland Research Company. Please go ahead.
Michael Piken – Cleveland Research Company LLC: A follow up to the last question, I mean I guess as you sort of look out to the 55 million to 58 million tonnes in 2014 versus the 53 million to 54 million tonnes. If you could sort of breakout whether you have any growth in India, particularly model in but I guess kind of market-by-market if you could and do you have any sort of downstream inventory restock in 2014 forecast.
William J. Doyle: Yes, You know that the 53 million to 54 million, its interesting the first half of the year we are on course to have a record shipment here, we have 29 million tonnes [indiscernible] and I’m not sure that the Uralkali folks didn’t when they came out with the number of 53 million to 54 million we were all scratching our head, I’m not sure that they didn’t have their move at the end of July actually well planned, at least a quarter ahead of time to be able to come with that number, because that the first half number worldwide was strong. If you look at 55 million to 58 million if we get 57 million to 58 million tonnes obviously that’s new record for 2014 and it will depend on how the market reacts to any new – in the markets they don’t appreciate instability and looking for not only equity market but potash markets and fertilizers markets around the world we’ll Look for more stability. so I would say that, if you are look for specifics how you get there we think that you are going to have increase in China say 0.5 million tonnes, India we know have a lot of hope for India before the election, which would be by the end of May, but I would say probably as of the moment about 300,000 tonnes additional. Other Asian markets also up about 300,000, North America we thought was going to be a little bit higher this year but then with this Russian announcement that also didn’t turn out to be as people became very conservative, but we see U.S. up about a million tonnes in 2014, Latin American has been strong, Brazil is a big driver there, so we have that up a couple of 100,000 tonnes that just gives an idea of how we get to say the mid-point of there of say 56 million for 2014.
Operator: The next question comes from Jacob Bout of CIBC. Please go ahead.
Jacob Bout – CIBC World Markets, Inc.: Question on the Chinese potash contract, when do you think are you going sign that what is pricing and then I guess we have [indiscernible] APC signing MOU for bit longer term. Does that change things it all for you.
William J. Doyle: No, it doesn't. We will continue to be a major player in China, I think, in our remarks, we said that we anticipate some shipments here during the fourth quarter, I think those will be done on a spot basis with China needs for a spot shipments . I think you’ll see new contracts early in the New Year 2014, but the needs between now and then will be covered by spot shipments. 
Operator: The next question comes from Jeff Zekauskas of JPMorgan. Please go ahead.
Jeffrey Zekauskas – JPMorgan Securities LLC: Thanks very much. Do you detect the change – an actual change in the market strategy of Uralkali since they said they wish to elevate volume over price or is there behavior in the market as best as you can tell similar to the way it was before?
Unidentified Company Representative: Well, Jeff, you noticed there’s been lot of positive comments coming from various Uralkali spokesmen, but they don't seem to match with what we see. They seem to be very positive comments, but we don't think they are doing as well as what they say. If you look at some of the fallout from this, certainly they’ve upset customers around the world with many of those customers forced to take write downs on their inventory. Customers, they don't forget that type of leadership or lack there of, I should say in this case, and many of them regard to Uralkali as being irresponsible. We’ve had a lot of face time since the end of July with our customers around the world, and the customers feel that Uralkali put their interest ahead of customer, and for us, in Canpotex, the customer always comes first. So we started looking at some of the details. Their CEO was in prison and now is under house arrest for almost two months, that can't be a pleasant experience for him, and their owner looks to be forced to sell his shares in the company. I’m sure he didn't have that in mind when he came up with this scheme. Their shareholders have just learned of a major cut of their dividend yesterday and sure they are not too happy there. I think the basic problem that they have is they didn’t understand market psychology. Markets yearn, as I said earlier, for stability and certainty not upheaval, and their announcement froze the potash market worldwide. But it was based on a strategy that was – it was based on a faulty promise and certainly has been a, I think, a mitigated failure, they will have a much worse financial results and have hurt themselves the most and it really comes from, I think, having inexperienced ownership and management and probably the worst thing is that they have done long-term damage to their reputation and reputation is everything in life and business, and that's why Canpotex, I can tell you, when this is all over and the dust is settled, Canpotex is going to come out way ahead, because Canpotex is regarded and has always been regarded as a true leader of the potash industry in terms of sales and they always regard their customers interest first and have been a very, very responsible player in the game.
Operator: The next question comes from Christopher Parkinson of Credit Suisse. Please go ahead.
Christopher S. Parkinson – Credit Suisse Securities LLC: Perfect. Thank you. You mentioned in your release that despite Brazil being in an area of relative strength in the quarter that North American exports were fairly low. Can you comment on that a little bit further and whether or not you believe you’ve lost some share gain during the first half, and then also generally, how to think about your strategy in the region as we head into 2014? Thank you.
Unidentified Company Representative: Alright, Chris, I am going to ask Steven Dowdle to comment on Brazil.
Stephen F. Dowdle: Yes. With Brazil, the potash imports into Brazil are running quite similarly to the record year last year. They are just about 1% above the record level of last year. So the demand to Brazil remains quite robust and is basically a response to favorable crop economics and there is a real incentive for the growers there to invest in crop inputs. So we think that Brazil will probably end this year at a similar level to where they were about 7.5 million tons of potash imports. As far as market share in Brazil, it’s pretty right up lined with our traditional market share in that country, it hasn't really changed significantly from what we would expect to do in Brazil. As far as other international markets and as far as exports in general, I think, that the lower export volume is a reflection of the kind of buyer pause that has resulted after the Uralkali announcement in July and buyers have been reluctant to enter the market as they see prices falling and they have been drawing down the inventories. We start to see in different markets, where that psychology is changing and they need to come back to get fresh volumes and we certainly expect, and are in very close communications with our customers, and we expect to see an uptick in those exports here as we go forward.
Unidentified Company Representative: Chris, just to add, if you think about the affordability of fertilizers, you think about where we are today, $4.40 corn and $13 beans and $7 wheat and 2,400 Ringgit palm oil and you go down the line, the affordability of fertilizer for crops that we service around the world is extraordinary, there is one of the consultants that just published most affordable fertilizer, most affordable they’ve been in nine years. And so it isn't that farmers aren't making money, many cases, flush with cash. This year, probably being the second highest net farm income ever in the U.S. and we are seeing similar types of returns around the world. So if you looked at that first half demand, 29 million tonnes, I mean, we were humming along and it's just that when you have such an unsettling move, and I obviously just spoke about it, that had just a real paralysis-type impact on the market. But we’re going to be seeing a response because that affordability is still there and before the 2014 crop is planted, you’re going to see a major rebound in demand for not only potash, but the other fertilizers as well.
Operator: Your next question comes from P. J. Juvekar of Citi. Please go ahead.
P. J. Juvekar – Citigroup Global Markets Inc.: Yes, hi. Question on some of the deferrals or delays in U.S. buyers that you talked about, when you compare this delays or deferrals that you talked about, did you compare that between sort of N, P and K? And then secondly, also talk about a fall application by N, P and K?
William J. Doyle: Hi. P.J., I’ll ask Stephen, he seems to be a very popular respondent today, I'll ask him to go at that one too. Steve?
Stephen F. Dowdle:  Yes, P.J., in the domestic market, there is really two main drivers and that’s, one is – has been the aura of uncertainty that has surrounded the market and that has been in each nutrient. You’ve seen this in nitrogen, you’ve seen in it phosphate, you’ve seen in potash, all for different reasons, but basically, we have seen prices decline for nitrogen, we’ve seen prices decline for phosphate and we have seen prices under pressure in potash as well. So in that environment, buyers are naturally reluctant to step into the market and they like to see a floor in pricing to give them the confidence that now is the time to buy. The other aspect has been, we are in a late season. As of October 20, only 39% of the corn was harvested versus 53% of a five-year average. More importantly, we are used to comparing quarters year-over-year. Last year, we had quite an early harvest, and at this point last year, we were 85% completed. So it feels very different for the growers this year than it did last year. Now, we are really just seeing in areas where the harvest has been complete and now there is underlying demand in the market. It doesn't feel like that, because of these other aspects, but when it's time, the good news is that we have seen this underlying demand manifest itself and people are purchasing, they are buying, it is just in time, but they are buying, and I think that psychology will certainly turnaround, as they see some stability that will result from this demand. 
Operator: The next question comes from Don Carson of Susquehanna Financial. Please go ahead.
Don D. Carson – Susquehanna Financial Group LLLP: Hi, Bill. Question on Canpotex strategy, if Uralkali were to persist with a volume over price strategy, would Potash and other Canpotex members continue to shut in production and take market share losses or is there a point at which you would take more aggressive approach to volumes? And then, just a follow-on on the U.S. market, I know one of your competitors offers price protection quite extensively to dealers to try and induce them to take product in the current market uncertainty. Is that approach that Potash has adopted in the U.S. market?
William J. Doyle: All right, Don, I’ll answer the first part of that and then I’ll ask Stephen to take the second part. Canpotex strategy hasn't changed. We clearly believe that price is more important than volume. Anytime, as I‘ve said many times before, you do a sensitivity analysis, you see that prices just, it overwhelms volume. That doesn't mean you go to zero volume, but it's so much more important. So Canpotex’s strategy hasn't changed and when we saw Uralkali change their tax, one thing that we said was that we were gone to take care of our customers, and I think that's the important thing and that's what we’ve been doing all along. We don't ever lead prices down, but we’re not going to loose our customers and I think we’ve been clear on that, and I think Uralkali knows that we're not going to loose our customers. And as I said earlier, I mean, the ones that they hurt and not us, and heck, I don't even think they hurt the Belarusians all that much, but I really think they did some severe damage to their own company. And just through an experience, it’s really sort of an amateur approach that if you were experienced in this business and they – it’s not just, the Russians, we have seen a lot of people over the years in charge of billions of dollars of assets in the fertilizer world, do some pretty silly things, but this is probably the single dumbest thing that I have ever seen. And when it comes to an end, who knows, but Canpotex's strategy is strictly to look after their customers and we’ve got lots of production and we are going to – we won't be short of being able to supply what demand we see out there. Stephen, you want to talk about the other part of the question? 
Stephen F. Dowdle: Sure. Don, certainly the market psychology has changed, but it didn't just change overnight. We’ve been really, since financial crisis and the disruption that occurred and resulted from that, buyer, our customers, their psychology changed and we had to make a adjustment for that. And our competitors will make their own adjustment, but our adjustment has really been based on our distribution system to account for a just in time market psychology, just in time buying decisions that our customer would make. And we have a lot of tools in our arsenal of dealing in this kind of environment and price protection is not one of those tools we use.
Operator: The next question comes from Mark Gulley of BGC Financial. Please go ahead.
Mark R. Gulley – BGC Financial LP: Hey, Bill. A common question on this call has been whether or not China really ought to be a spot market. Since you [indiscernible] this talking about shipping some spot products this quarter, could that morph into a new sales approach by Canpotex into next year?
William J. Doyle: It’s a good question, Mark. I don't see that. I think you’ll see some spot business now in the fourth quarter. I think you are going to see more of a diversified approach going forward by us, we'll have the days of exclusivity are probably coming to an end. So I think you will see us with multiple customers in China and it’s just the fact that market is getting bigger and more diverse, more players, as the demand grows up – grows we are going to continue to see that more players in the marketplace and we'll always have a great relationship with Sinofert, but you know I would say that you will see us with probably more diverse customer base a year or two years from now.
Operator: The next question comes from Joel Jackson of BMO Capital Markets. Please go ahead.
Joel D. Jackson – BMO Capital Markets:  Thanks. A couple of questions on production in India. So on the production, when did Rocanville and Lanigan run in the quarter and then Q3 and then what do you see for the rest of the year for next say couple of quarters on how you see your production coming out of the different minds considering your current production capability and your projections for sales? And then on India, can you disclose how much Canpotex has shipped so far under the existing contracts and if you can confirm that others suppliers have now repriced down their prior contract, coming down to 375 a tonne and if you are likely to match that level? Thanks.
William J. Doyle: You just went over your quoted Joe, but…
Joel D. Jackson – BMO Capital Markets: Sorry.
William J. Doyle: Because you are nice guy we are going to try and answer your questions. What I say, I am going to ask Mike Hogan to comment specifically on the mines. But if you think about where we are going to be this year in terms of percent of capacity, utilization we’re going to be about 64.5 somewhere, percent I am talking about total capacity, Mike do you have any more specifics?
Michael T. Hogan: Joel in the third quarter we curtailed 600,000 tonnes of production and that’s outside of our regular vacation maintenance period that we take through August and July. So Lanigan running at half throttle and reduced rates Rocanville ran at normal rates and moving forward Cory also running at reduced throttle as well.
William J. Doyle: All right and then Stephen would you take the second part of that.
Stephen F. Dowdle: Yes, as far as India is concerned Canpotex their contracts total about 1.2 million tonnes and that is through the Indian fertilizer year which ends in March of 2014 and through September Canpotex has shipped approximately 50% of that volume. As far as the price negotiation in India, they are ongoing right now and once we would expect once they are finalized that the balance of that volume would be shipped assuming there is not any untoward delay in finalizing those price negotiations.
Operator: The next question comes from Steve Hansen of Raymond James. Please go ahead.
Steve Hansen – Raymond James Ltd.: Yes, good morning. Just hoping on the nitrogen site if you could provide some commentary color on your outlook for the Chinese urea export situation. What you expect to see over the next six months and how the exports ship might impact pricing level?
William J. Doyle: All right, Steven it's another one for you. Go ahead.
Stephen F. Dowdle: Yes, the China urea, we’ve seen and expect to see in this calendar year a significant uptick in urea exports out of China. We expect that they are going to be somewhere between 9 million tonnes and 10 million tones of urea exports. There is talk in China that they may change the high tax export window and possibly even eliminate it, it’s apparent from both from a urea perspective as well as from a phosphate perspective that there are ample supplies in China through the domestic production that they can meet their domestic demand, the whole idea behind these high tax export windows was to ensure that there was adequate supply to urea and dry phosphates for China. It seems that the growth and capacity has elevated any fears that there wouldn’t be enough domestic supplies, and so we do expect that these higher levels of certainly urea exports will continue in 2014. And the world is going to have to adjust to these increased volumes.
William J. Doyle:  You know Steve one thing that I think people should keep in mind when you talk about Chinese urea. Most of that has produced with coal and coal gasification. If you have seeing just in the last ten days or so, some of these pictures coming out of China there is been small air pollution, shutting down of airports, traffic at a standstill. China is going to be under more and more pressure to take another look at those coal based plants because of the tremendous pollution that they put out. And I think over the medium term you’re going to see some change there its just they’ve got an enormous air quality problem. And you know with people earning more income they expect higher quality life. And you know I talked to our Chinese friends, they say that China will have to address this air quality problem. And China urea is going to with that coal-based production is going to have to be part of the solution.
Operator: The next question comes from Matthew Korn of Barclays. Please go ahead.
Matthew J. Korn – Barclays Capital, Inc.: The question here on the current markets, supposing maybe that the current cycle and with uncertainty and deflation in your expectations all of this kind of ends maybe sooner than later, is there maybe a particular opportunity that that increase stake among your holdings with the other potash companies, is this the kind of environment, well seeking that kind of consolidation might be very attractive or maybe impossible in a way. While other time that has been more financially or politically challenged?
William J. Doyle: What I can tell you Matthew, we always keep our eye on all of our equity investments, we’ve been very clear about our desire to have a majority position in each one of those, we think those are the second best potash assets in the world, so we don’t talk specifics about M&A, but philosophically we are not appose to what’s you are saying.
Operator: The next question comes from Adam Samuelson of Goldman Sachs. Please go ahead.
Adam Samuelson – Goldman Sachs & Co.: Hi, thanks good afternoon. Bit of a long-term question and just look at back at kind of demand growth expectations over the past couple of years, you enter 2011 thinking demand is going to be 55 million to 65 million tonnes, the following year 2012 same thing, 2013 will narrow or expecting 55 million, 57 million and we are sitting here in 2014 – looking into 2014 expecting shipments 55 million to 58 million. Clearly over that time period you had the issues is an India that have impacted consumption, but you’ve also had pretty high grain in oil prices is globally. So I am just trying to maybe get your thoughts and reflect on what has happened to global demand maybe outside of India to that’s impacted global demand growth.
William J. Doyle: Well, I’m – I think Steve touched on little bit earlier, but since 2008 the world has been in the prolong period of political and economic uncertainty, some of the wounds have been self-inflected like the Uralkali situation, but and you could argue that the default debate in the U.S. none of that stuff helps and we need global growth to recover in a full fashion in the fertilizer industry, but just to give you some perspective between 1981 and 2010 China listed 680 million people are poverty which is more than the entire current population of Latin America in that 30-year period and just tremendous amount of growth. And if you look in terms of grain consumption, meat consumption, what that did from a fertilizer base then till now and I know people are focused on the last few years what we’ve had this flat period. But I think it bodes very well for thinking about this business over the next few years. As I see, a return to global growth and when you think about that 680 million people moving out over that 30-year period, two-thirds of that growth came about through just GDP expansion in China and it’s a tremendous driver. So when we see Europe starting to come out of the Eastern U.S. fits and starts, we think if we can get beyond some of the political challenges and we have a little bit more sober and adult debate in the U.S. and that would help get these markets stabilize. But China, 7.8% here in most recent quarter, Brazil being quite strong, India is not going to be where it is today and certainly, in terms of fertilizer science is just not going to let them do that. So you start to see some of these things come around and I think if you understand this great recession – the impact of the great recession, the political economic uncertainty, the self-inflicted wounds, we’re going to come out of this period and you’re going to see a more robust world in a more robust period of growth and a return to pretty dynamic fertilizer demand recovery.
Operator: The next question comes from Yonah Weisz of HSBC. Please go ahead.
Yonah Weisz – HSBC Bank Plc: Yes hi good afternoon. Your two North American peers in recent weeks have come out with announcements on cost saving plans. With regard to – with potash let’s say it stays 60 at the moment. Is there any company specific way the PotashCorp either would produce savings on CapEx or an operating cost that can you put some extra energy into EBITDA or EBIT in terms of lower costs?
William J. Doyle: Well, Yonah, we are trying to become more competitive everyday. This is a religion here in this company, so we’re thinking about this every single day and we take, whatever the reality is that we face we deal with it. So this Uralkali news firstly, as I said, when I spoke about this or a week after it came out, we’re not quite three months since this announcement, I said I don’t think this is a long-term prospect, because it’s self-destructive, if you look at what’s happened to Uralkali, they’re just wiping themselves out. So eventually people get tired of that and I’m sure the shareholders, I’m sure the customers are telling that and I’m sure their boys are not all that crazy about it. And so I just don’t think that, that last for a long period of time, I don’t know when it will be resolved, but I expect it to be resolved. but we deal with the reality that we’re in. So we don’t – we haven’t made any plans or take a short-term view of this in terms of looking at our operating costs, looking at our potash production costs and we’re always trying to think of how we can reduce those costs and how we can operate better, we’ve got some issues, we’re going to operate – we’re going to have our Allan run in the first quarter, most likely first quarter of 2014. You staff a little bit differently during those runs, but then, when you get through with that, you probably see us operating a little bit differently on more efficient mines, if we maintain this current environment that we’re in we’ll probably operate a little bit differently and I just say the focus on cost, cost reduction, efficiency, it’s an everyday process here and we talk about internally all the time, our people are totally dedicated and being the most competitive producer, the best placed competitor in the world to service our customers.
Operator: The next question comes from Kevin McCarthy of Bank of America Merrill Lynch. Please go ahead.
Kevin McCarthy – Bank of America Merrill Lynch: Yes, good morning. Bill, it seems like not too many weeks go by where we don’t see a flurry of press speculation about which billionaire may or may not step into Uralkali, would it change in ownership there in your view after the catalyst to restore some sort of cooperative marketing arrangement in Eastern Europe A and/or B result in a reversal of the volume of price strategy that has been so disruptive and if that does not happen over some sufficient period of time, does it have any bearing on Canpotex’s strategy in the future?
Stephen F. Dowdle: Yes, Kevin, if you read, what you read in the press, it sounds like Mr. Lukashenko, that's what he is demanding that there be a change. I don't know for what's happening, we do know that there has been – there have been some approaches by the current owner to sell his shares and I think that potentially obviously could be a catalyst and it just – the point I’ve been trying to make all along, people don't do things that are not in their best interest for prolonged periods of time. Self destructive behavior is not logical. And so, I think that there will be a resolution, as I said back, in early August. I don't know how long that's going to take. I said, I don't think it's a long-term problem, but it could be a catalyst for change there.
Denita C. Stann: Brock, we'll have time for just one more question.
Operator: Thank you. The last question today comes from Vincent Andrews of Morgan Stanley. Please go ahead.
Vincent Andrews – Morgan Stanley & Co. LLC: Thank you for squeezing me in here. Hello, everyone. You just – thank you for the forecast on 2014 for the global industry of 55 million to 58 million tonne. I am just curious what you think your shipments might be at either the low end or the high end of that or I guess maybe just a bit point?
William J. Doyle: Yeah, Vince, you are asking me to get into 2014 forecast and so I always make room for a Georgetown boy on the call, Vice, so don't you worry about that, but we’re not going to comment on 2014 forecasts.
Denita C. Stann: Thank you everyone. We appreciate your time today. If you have further questions, please don't hesitate to give us a call at the office.
Operator: Ladies and gentlemen, this concludes the conference call for today. Thank you for participating. Please disconnect your lines.